Operator: Hello, and welcome to the J. M. Smucker Company’s Fiscal 2022 Second Quarter Earnings Question-and-Answer Session. At this time all participants are in listen-only mode. During the Q&A, please limit yourselves to two questions and re-queue if you have additional questions. [Operator Instructions] As a reminder, this conference is being recorded.  It’s now my pleasure to turn the call over to Aaron Broholm, Vice President, Investor Relations. Please go ahead sir.
Aaron Broholm: Thank you, Kevin. Good morning and thank you for joining our Fiscal 2022 Second Quarter Earnings Question-and-Answer Session. I hope everyone has had a chance to review our results as detailed in this morning's press release and management's pre-recorded my remarks, which are available on our corporate website at jmsmucker.com. We will also post an audio replay of this call at the conclusion of this morning's Q&A session. During today's call, we will make forward-looking statements that reflect our current expectations and future plans and performance. These statements rely on assumptions and estimates and actual results may differ materially due to risks and uncertainties. Additionally, we use non-GAAP results to evaluate performance internally. I encourage you to read the full disclosure concerning forward-looking statements and details on our non-GAAP measures in this morning's press release.  Available today on this call are Mark Smucker, President and Chief Executive Officer; and Tucker Marshall, Chief Financial Officer. We will now open up the call for questions. Operator, please queue up the first question.
Operator: Thank you. [Operator Instructions] As a reminder, we ask that you please limit yourselves to two questions and re-queue for your additional questions. [Operator Instructions] Our first question today coming from Andrew Lazar from Barclays. Your line is now live.
Andrew Lazar: Great. Thanks so much and good morning, everybody. I guess, first one is on elasticity. Thus far, volume elasticity has been lower than what you’d forecast and below, I guess, what you’ve seen historically and we’ve seen that for the Group more broadly.  It sounds like in your – for at least the way you are thinking about modeling for the fiscal second half that you are building in somewhat greater elasticity than you’ve seen thus far as pricing kind of kicks in that could start to hinder volume growth a little bit more. And I am trying to get a sense whether this is more out of conservatism or if you’ve started to see maybe more volume impact from pricing more recently as it’s kind of kicked in, in a bigger way? 
Tucker Marshall : Andrew, good morning. With respect to your question, we are increasing our full year net sales guidance by approximately $160 million or 2% at the midpoint. It really relates to half associated with overdelivery in our second quarter or $80 million. Of that $80 million, what we really saw was underlying business momentum against our brand and growth imperatives along with better than anticipated elasticities from our initial round of pricing actions over the summer and early fall.  As we think about the back half of the fiscal year, we are anticipating incremental growth of $80 million against our prior expectations. The prominence of that is coming from continued momentum of volume mix and those better than elasticities.  However, in our fourth quarter, we do have significant pricing actions, particularly in coffee and to a lesser extent impacts associated with cost inflation. As a result of that additional round of pricing that will take place in the fourth quarter, we have factored in elasticities against that pricing waiver action. And so, therefore that is all factored into our guidance. 
Andrew Lazar: Great. Thanks for that. And then, secondly, you recently announced the planned construction of a new facility for Uncrustables, which I think is going to expected double brand sales to $1 billion in the next five years. And it looks like that could essentially drive about sort of 1 point of sales growth for the overall company per year, I guess, or about half of Smucker’s 2% annual organic growth target kind of on its own.  So, clearly the brand is now big enough to sort of matter and move the needle. And I guess, my question is, with the brand now about – at about 70% ACV, I guess, how are you thinking about driving the growth in this brand in terms of incremental distribution opportunities at current customers versus or – and expanding ACV by entering new customers? Thank you. 
Mark Smucker: Hey, Andrew, it’s Mark. Thank you for the question. The first headline in response is that, this is up fundamentally about our strategy of investing where the growth is, in other words, we’ve talked about reshaping our portfolio, which is not only about M&A, but it’s also about making sure that we are putting resources against our largest opportunities.  And Uncrustables, it’s clearly one of those. If you think about 30 consecutive quarters of growth, mostly, and almost every one of the quarters it’s been double-digits. This last quarter, it’s about 33%. We are going to hit our $0.5 billion target a year early, which is fantastic and that has been supported by the investment in our second facility in Longmont, Colorado, which we have continued to invest in and add lines there to support getting to of course, over $0.5 billion.  And yes, you are correct, the investment in the Alabama facility which we will break ground on in the next couple months will support, obviously further growth to what we believe could be north of $1 billion.  And so, the reasons why – the reason to believe is, there is just a ton of runway on this brand. I mean, household penetration number one is still low. It’s only about 11%. There is significant room for growth in household penetration.  Number two, we have not invested significantly in marketing. And so, we have not turned on any significant consumer spend. And then, there is runway even just on our core peanut butter and jelly offerings, whether that’s in particular, places in U.S. retail, certain locations in away from home. We have not turned on Canada yet. And then there is opportunities in the convenience channel.  So, if you think about all of those, plus the fact that we haven’t done any really meaningful innovation, we just think there is a ton of growth opportunities in momentum for that brand. 
Andrew Lazar: Great. Thanks very much and have a great holiday. 
Mark Smucker: Thank you, too. 
Operator: Thanks. The next question is coming from Ken Goldman from JP Morgan. Your line is now live. 
Ken Goldman: Hi. Thanks so much. 
Mark Smucker: Good morning. 
Ken Goldman: A quick question on free cash. I think the implication is that, you are expecting maybe around $80 million less in operating cash flow than you previously expected. Just looking at your guidance for that in CapEx. And you had highlighted inventory is the biggest headwind. Can you just maybe elaborate a little bit on what’s driving that expected inventory increase? How long you anticipate it lasting? 
Tucker Marshall : Good morning, Ken. So, our free cash flow target for the fiscal year is now $700 million. Really what is driving that is the decrease in year-over-year earnings, along with the building of inventory associated with working capital requirements as you noted inclusive of us taking up capital expenditures in support of the Uncrustables facility expansion.  With regard to the inventory levels, what we are trying to do is make sure that we have the right, both raw materials and finished goods within our network in order to ensure that we are in stock and on shelves and that we are also managing through supply chain challenges, shortages, along with business continuity.  And so, in the near-term, we should expect elevated levels of inventory as we work through the balance of the fiscal year and think about next year, we can provide an additional update on sort of the longer term implications of inventory levels. But right now, it’s just ensuring that we have product to supply. 
Ken Goldman: Makes sense. Thank you. And then, just a quick clarification. I think you mentioned that productivity will help offset some of the inflation you are experiencing. Are you increasing the amount of cost savings that you are looking for which, I think was around $50 million. Has that number gone up or is that still around the same amount that we should be thinking about for the year? Thank you. 
Tucker Marshall : Ken, we are not changing our annual savings target of $50 million when we talk about productivity savings associated with cost inflation. What we are describing here is, is that, we are seeing low double-digit year-over-year cost inflation that needs to be covered through rounds of pricing actions in this fiscal year.  We also acknowledge that over time to support both dollar profitability and percent profitability, we will need to continue to advance productivity in the form of savings across both our cost of products goods sold and our SG&A environments to support the overall long-term health and profitability of the company, which we remain committed to. 
Operator: Thanks. The next question today is coming from Laurent Grandet from Guggenheim. Your line is now live. 
Laurent Grandet : Hey, good morning, everyone and congrats on the strong quarter. So, my first question is really a follow-up from Andrew’s question on Uncrustable. You experienced very good strong sales with that brand, but you mentioned in your remarks that you would be finalizing the construction of the second line by the end of next fiscal year. So, will that constrain Uncrustables sales in the short-term or more into the next fiscal year? 
Tucker Marshall : Laurent, you are correct. We expect by the end of our fiscal 2023 to have the phase 2 of the Longmont, Colorado facility complete. And that will enable the ongoing expansion above $500 million sales target. And so, therefore, we do not see a constrain in the near-term associated with the continued growth of that brand and business. 
Laurent Grandet : Okay. Perfect. Thanks. And my second question is about the guidance. You are one of the very few food company to not only increase the top-line guidance this quarter, but also, I mean, your EPS despite I mean a very volatile environment. So, what can give you that level of confidence? Or in other words, what’s the level of cushion you’ve got built in? Thanks. 
Tucker Marshall : Laurent, you are correct. We did raise both the low end and the high end of our guidance range by $0.10. That really is broken down as follows: we overdelivered our second quarter by $0.40, which was primarily driven by favorable business momentum and better than anticipated elasticities, along with some cost savings.  We anticipate an additional $0.30 in the back half from that ongoing momentum being offset by $0.60 of additional cost, partially offset by fourth quarter pricing actions. And so, therefore, that $0.70 overdelivery or increase to our expectation is being offset by $0.60 of cost price impact therefore, supporting the dime that we increased both the low and the high end of the range.  We do feel that we have a balanced guide at the midpoint at this point from the both the top-line standpoint and the bottom-line. That gives a balance in delivering the fiscal year. 
Mark Smucker: Laurent, this is Mark. I may just add that, just to your point about confidence, clearly, we are operating in a very dynamic environment where there have been a number of challenges, whether it’s supply chain related or inflation, what have you? I think, fundamentally, the reason that we have continued to deliver is because our execution has been excellent.  Our people have been extremely agile and been able to pivot and react or in many cases anticipate challenges before they happen. And so, it’s a combination fundamentally of detailed supply chain management and then the combination of both consumer and customer execution. So, marketing and sales execution working together in concert along with our supply chain management, I think has truly allowed us to continue to deliver consistently over the last few quarters. 
Laurent Grandet : Okay. Thanks, Mark and keep up the very good execution. Thank you. 
Mark Smucker: Thanks. Thank you for the support. 
Operator: Thanks. The next question today is coming from Chris Growe from Stifel, Your line is now live. 
Chris Growe : Hi, good morning. 
Mark Smucker: Good morning. 
Chris Growe : Hi. I just had – I have two questions if I could. And the first was just understanding the quarter to understand how pricing is keeping pace with inflation. If you were to look at peanut, pricing that have caused, would that – it was negative in the quarter. Are you seeing that catch-up then in the second half of the year or still pricing should continue to accelerate or is it more so in the fourth quarter when more of that pricing kicks in? 
Tucker Marshall : So, as you think about the walk for the year, we took an initial round of pricing in the mid-summer timeframe, that is really benefiting the back nine months of the year. And so, that is coming into help support sort of the initial look that we had of cost inflation coming into the fiscal year. When we came through our first quarter, we had additional cost increases that we were seeing that we have taken subsequent rounds of pricing that we will start to see benefiting primarily the fourth quarter, to your point.  And then, lastly is, we have seen increased cost since our last call primarily in green coffee and in transportation, which is having us to take an additional round of pricing in our coffee portfolio and pet portfolio as well and we believe that benefit will come through in Q4.  So, to your point, yes, we are seeing the predominance of the benefit coming through our Q4 and then, we will pick up sort of the lapping effects into the balance of FY 2023. 
Chris Growe : Okay. That was helpful. Thank you. I had one other question, perhaps for Mark and it’s – I guess, I am just curious how you see the health of your core consumer today? I know, it’s a broad question in a broad view, but when we see the brands in general doing so well, your brands gaining share, private-label losing share, we had some IRI data it’s confirmed that again today.  And this is all occurring amidst a high level of pricing. So, elasticities been low and almost non-existent for most companies. Does that change as we continue to move maybe into 2022. Do you take a more conservative view of elasticity as a result of just all the pricing into the consumer and there – what has been to this point very strong growth in the brands? 
Mark Smucker: Sure, Chris. I think, Tucker in one of his previous answers talked a little bit about some of our elasticity assumptions going forward. But the success that we’ve experienced is a couple of things. First and foremost is what I just said in Laurent’s question about the firing on all cylinders of managing the supply chain through all of its dynamic changes, as well as continuing to invest in our brands during this time, not cut marketing in a material way, but continuing to invest.  We’ve had some world-class marketing campaigns, notably Jiff, most recently, as well as just a store level execution to make sure that we do our best work trying to keep our brand in stock.  So, I think, it’s those things, plus what we believe is an ongoing tailwind of elevated at-home consumption, driven by the fact that folks are not going to go back to work the way that they wanted it. There is going to be, we believe, a hybrid work model that is going to keep people in their homes more than they used to.  And so, since we clearly are breakfast and lunch oriented, that is definitely going to continue to support our business, as well as you know, focusing on pet snacks, Milk-Bone alone was up 17% in the quarter. So, we’ve just had some very nice results supported by both our execution and then some of this what we view as a persisting tailwind of at-home consumption. 
Chris Growe : Okay. Thank you for that and happy holidays. 
Mark Smucker: Thank you too. 
Operator: Thanks. Our next question today is coming from Steve Powers from Deutsche Bank. Your line is now live. 
Steve Powers: Hey, great. Thanks and good morning everybody. 
Mark Smucker: Good morning. 
Steve Powers: Maybe, if you just – circling back to productivity, I think in response to – I believe it was Ken’s question earlier, you said you were not taking up productivity targets for 2022. But you have updated your SG&A forecast lower despite what I would assume is upward pressure on some of those components. So, maybe you can just help me out there in terms of where that – those savings are coming from and if they are just sort of a pullback on this more discretionary items as opposed to corporate activity? 
Tucker Marshall : Yes. I think, it’s to the latter of what you said. It’s more of a pullback on discretionary items and just year-over-year favorability. So, SG&A expenses are now projected to decrease by approximately 7%. That’s really due to the benefits of our cost management and organizational restructuring programs that we initiated a year ago.  It’s also the benefit of lower marketing spends and that’s really because we are lapping a pretty strong fourth quarter spend from the prior year, as well. And also, it’s from a reduced incentive compensation and other reductions in discretionary expenses. And so, I think it’s more the latter of what your question asked, as opposed to the former. 
Steve Powers: Okay. That’s helpful. Thank you. And I guess, maybe, shifting gears if we could circle back to a topic that was sort of in focus last quarter, and maybe just is there any updates in your thinking around Nutrish from the dry dog food side and what you are planning to drive some future reinvigoration there? 
Mark Smucker: Sure, Steve. So, first of all, as we talked last quarter and this is probably a little bit repetitious. Our pet strategy, you’ll recall, is really contingent on three legs of the stool. The first and priority is pet snacks, because we are the leader in pet snacks and continuing to direct resources to our pet snacks business. Our cat food business where we are the solid number two and Meow Mix has experienced significant growth, continues to see quarter-over-quarter growth even sequentially.  And so, those two clearly where we have stronger leadership positions are our priorities. And then, of course, the third leg is our dog food, where we are not as much in a leadership position and recognize that and acknowledge last quarter that we are not going to experience the same level of growth on our dog food business as we would on the other.  But it still serves an important role. Nutrish, specifically albeit a relatively small portion did do well in the quarter with about 5% growth total over the entire brand and actually dry dog is about 1% growth, sorry, in the quarter.  So, we did experience some growth and we remain committed if you recall to the entire Nutrish brand, which includes both snacks, as well as some vet products, as well. And let me correct myself. I thought it was right, 4% was our growth on dry dog. So, we did have a solid quarter on dry dog on Nutrish this quarter. 
Steve Powers: Very good. Thank you very much.
Operator: Thanks. Our next question today is coming from Bryan Spillane from Bank of America. Your line is now live. 
Bryan Spillane: Hi. Thanks, operator. Good morning, everyone. Tucker, maybe just to follow-up a little bit on the inflation. We are at a, I guess, now low double-digit runrate year-to-date. And so, I guess, what I was trying to get some perspective or would like to get some perspective on, do we think at this point that we are closer to a peak in terms of just where cost elevation goes.  And maybe underneath that, just so we are thinking about maybe the next 12 months even, just what are the pieces that continue to be areas of pressure and may continue to put pressure and what might actually be a source of maybe more moderation as we look forward. Just we try to understand, continues to elevate and what are the probabilities that rate of inflation as we come back a quarter later continues to move higher? 
Tucker Marshall : Bryan, good morning. As you’ve noted, we are experiencing low double-digit year-over-year cost of products goods sold inflation. That’s going to equate over $550 million against our total cost basket at comps and as the key elements of that that we’ve been pretty consistent since the beginning of our fiscal year, commodity and ingredient inflation, packaging and transportation inflation, as well and you are also now seeing some labor-related inflation, as well.  Part of that too is also just the discontinuity and the disruption of the overall supply chains that are factoring into that. But as we see the balance of our fiscal year, we think it still continues to increase, but it sort of increasing at a decreasing rate and we are able to sort of get our arms around the balance of this fiscal year based on what we see to-date.  We continue to successfully execute and manage through this overall environment. But I think, looking much and beyond our current fiscal year is probably not prudent at this time, just as we continue to understand the signals beyond the current fiscal year. But I just want to again acknowledge the tremendous work that our teams have done to manage this overall inflationary environment not only on the price side, but also on the productivity and production front. 
Bryan Spillane: Okay. Thanks for that. And then, I guess, as we are thinking about the incremental pricing actions, right, the incremental price that you are going to take back half of the year, is that – are those price increases really matching the inflation that you know now. And I guess, if inflation continues to go higher, would it maybe suggest that at some point you have to come back for additional rounds of price increases? 
Mark Smucker: Yes, Bryan, it’s Mark. The short answer is, our playbook fundamentally hasn’t changed. And so the intent is to fully recover over time, acting as a leader in our categories, right. And so, less price movements as we have seen over these last several months are not unusual and because they are so ubiquitous, obviously, the tide sort of raises although.  So, everyone is experiencing it. I would also just highlight that in addition to these less price increases and our intent to fully recover, within that, we can use other levers like optimizing our trade spend, and obviously, some of the productivity initiatives that Tucker previously mentioned. But, yes, the – overtime, our intent is to fully recover and as you’ve heard us say over the last couple quarters, there is some timing lag from when those actions hit the marketplace. 
Bryan Spillane: Alright. Thanks, Mark. Thanks, Tucker. Have a happy Thanksgiving both of you. 
Mark Smucker: Same to you. 
Operator: Thanks. The next question today is coming from Alexia Howard from Bernstein. Your line is now live. 
Alexia Howard : Good morning, everyone. 
Mark Smucker: Good morning. 
Alexia Howard : So, two questions here. First of all, the guidance for fiscal 2022 has obviously changed quite a bit over the last couple of quarters then now there is a modest guide down to the third quarter and things should get better with pricing in the fourth quarter. So there is a lot of moving pieces here. If you have to summarize the key uncertainties for what are biggest uncertainties here in your mind as we look out for the remainder of fiscal 2022 and even into 2023, what would you – how would you rank order them? 
Mark Smucker: Alexia, it’s Mark, and I’ll start here. So, first of all, I think it’s what we’ve been seeing in terms of just the supply chain uncertainties, how dynamic that is, some of the labor challenges that exists across multiple industries. I think, if you think about those components, those are probably going to persist for the foreseeable future.  I think that’s been a pretty consistent theme. The way I would describe it is, when I say dynamic, what we mean is, the challenges that exist can change week-to-week, months-to-months. It could be an ingredient or a packaging component at one point it could be some isolated labor challenges in a particular geography. So it really is somewhat of a moving target.  And the fact that we – about six months ago, did actually changed some of our organization structure. We became a flatter organization, which truly has allowed us to be very agile and pivot to those – to where we do see challenges very quickly. And again, I think it’s that ability to be agile and to respond to this very dynamic environment that has allowed us to stay on top of it and continue to deliver products ultimately to our end customers. 
Alexia Howard : Great. Thank you very much. That’s incredibly helpful. And the follow-up question, you mentioned in, I think the prepared remarks, that you have an improved commercial model and you have investments in basic capabilities. Can you just describe what you can do now as a result of that that you couldn’t before that we got an idea of really what – how the capabilities are developing? Thank you. And I’ll pass it on. 
Mark Smucker: Okay. Sure, Alexia. Thanks for the question. So, the general headline is what I said before, it’s just a combination of both consumer and customer, marketing and sales execution. Those two things working together has been incredibly successful.  If I recall, we may have spoken a bit at CAGNY last year about some of our new online capabilities that actually just that by way of an example with our retail customers, we have rolled out a capability where we are able to actually see outages, for example, in store clusters or geographies and are able to react to potentially those out of stock quickly and make sure that if we are in, say, a major metropolitan area with one customer, that we can actually go in and target specific groups of stores and actually ensure that we are getting products on the shelves, whether that’s even out of the backroom or not, it’s truly very tactical.  But we believe that that capability is one example of how we are able to quickly react and we do believe that that’s best-in-class. 
Alexia Howard : Great. Thank you very much. I’ll pass it on. 
Operator: Thanks. Our next question today is coming from Robert Moskow from Credit Suisse. Your line is now live. 
Robert Moskow: Hi, thanks. One of the bigger surprises for me and then several of them was to see pet snacks growth so strong in the quarter. The Nielsen Tracking Data doesn’t really indicate that and I was wondering, if you could be more specific as to where – which channels you are seeing the snacks growth come in. And then, I had a follow-up on labor. When you talk about labor challenges, to what extent is that challenges within your own four walls or is it really mostly at the distributor level and at the retail level? Thanks. 
Mark Smucker: Rob, it’s Mark. Let me start with your second question around labor. It is systemic, as you know and as I mentioned to Alexia, it is a moving target and in terms of where we might experience is certain labor shortages. I think it depends on the geography. Sometimes in certain geographies, we may be competing for skilled labor.  I would – what I would tell you in general is that less skilled labor, which sometimes would be in distribution centers is the labor that probably moves around the most and we see probably the most turnover. But again, I think we’ve been very agile at adapting to the challenges and been able to stay on top of things for the most part. But it is again - it varies and it can shift over time.  Pet snacks, I think, in terms of a little bit more specific, obviously, we have been supporting our pet snacks business with advertising which has been very effective. And again some of the other capabilities around sales at the store level have allowed us to remain in stock and Milk-Bone, specifically has been supported by some new innovation, which has actually done reasonably well also. So it is a combination of all of those things that has been supporting our snacks business, as well as Milk-Bone, specifically.  The one other comment I would make and I – just from the channels, I think we might have to follow-up with you and get on the specifics of that, but what we are seeing in our numbers is that is typically growth across all channels and that the consumption growth that you are seeing is generally in line with our sales growth. 
Robert Moskow: Okay. I’ll follow-up later. Thanks. 
Operator: Thanks. The next question is coming from Pamela Kaufman from Morgan Stanley. Your line is now live. 
Pamela Kaufman : Good morning. I was wondering if you are making any adjustments to your marketing and promotion strategy through the year, given the stronger than anticipated demand that you’ve seen.
Tucker Marshall : No, we are actually moving forward and basically sticking to our guns on our marketing plans. Given the inflation across our portfolio more broadly, the percent of sales that you would see will be down slightly versus last year, but our marketing budgets are very much in line with what they were last year. Coffee is actually up slightly. And so, we continue to invest in our brands. 
Pamela Kaufman : Thanks. That’s helpful. And clearly, there is a lot of investment behind Uncrustables given the strong growth that the brand is seeing. Are there other products in the portfolio where you see opportunity to step-up investments? And maybe you can touch on some of the innovation that you are working on. You mentioned in pet foods, but are there other areas where you see particular opportunity to step-up investment and innovation. 
Mark Smucker: Yes. Sure. The Milk-Bone, for example is really around utilization and there is a number of new Milk-Bone products. Think about biscuits being dipped some other our products, peanut butter for example. Peanut butter on a dog biscuit is one does do very well and those are relatively easy line extensions for us to do. And so, we’ve done well on Milk-Bone. That’s a really good example.  Meow Mix, we’ve continued to invest in marketing there. So we see good growth on Meow Mix. And then, Dunkin and Bustelo in coffee, both are – have maintained their households. In fact, what we are seeing is that they are the two brands in the whole coffee category that have maintained their household both at double-digits. And so, continuing to invest in those brands, as well.  And then finally, just on Folgers, as we know that the category continues to shift to K-cups. Keurig has done a great job just in terms of selling more brewers and we think this is going to be probably couple million more brewers coming online. And our Folgers brand has been doing fantastic in the K-cups space. So, just shifting our portfolio again to where the growth in or where the growth is going has really benefited us. 
Pamela Kaufman : Okay. Thank you. 
Mark Smucker: Thank you. 
Operator: Thanks. Our next question today is coming from Rebecca Scheuneman from Morningstar Inc. Your line is now live. 
Rebecca Scheuneman: Great. Good morning. 
Mark Smucker: Good morning. 
Rebecca Scheuneman: So, if we take a look at Smucker’s history of innovation and Uncrustables has been a clear home run. But there have been a few stumbles at play. And I am just wondering if you could kind of share your product development process? And what Smuckers does to set itself apart from others in this highly competitive industry? 
Tucker Marshall : Sure, Rebecca. The first is, as you mentioned, we have been focused a few years ago on fewer bigger and I think what – we did have a couple stumbles there. Our 1850 brand notably is still in the market and is sort of steady. And so our 1850 brand, which was a relatively big launch in coffee as an extension of Folgers has done decent and remains in market.  What we learned through that process is that if you have to have a combination of smaller and larger vets and if you get the mix right, it works. I would highlight that even when we have had stumbles, we – our growth from new products has been consistent with our algorithm over time.  And so, even in the years where we feel like some of our larger vets, I mean, that have been successful as we hope, we still delivered against our growth algorithm on new products.  And we’ve really feel like, right now, we’ve got the mix right. I’ve already mentioned several times about some of the Milk-Bone and some of the other innovation that we’ve been seeing and just getting that mix right, Jif Squeeze is another really good example of just taking peanut butter and putting in a different more convenient packaging has been very successful, as well. So at the end of the day, it comes down to knowing your consumer and getting the balance right. 
Rebecca Scheuneman: That’s very helpful. Thank you. And also, so, it was about a year ago now, at your Investor Day, you’ve laid out your new plan to redesign your marketing model. And I was wondering if you could provide an update on how that strategy is progressing? And as part of that, if you can share like, what percent of your media spend is allocated to digital medium? 
Mark Smucker: Okay. The last part of your question, it varies by category, but it would be roughly 60:40 or – it’s in the 60:40 to 50:50 range and what that means is, mass media is important, because it’s all about reach. It’s about reaching as many consumers as you can. Digital is more about targeted. So, you already have consumers and you are trying to make sure you keep them in your brand franchises.  That’s an oversimplification. But that’s sort of how we think about it. So, you have to have both. The question more specifically about marketing was – and I’ll try to do it in the broader terms, we needed to fundamentally think about how we partnered with our external partners. We had many, many agencies. We essentially consolidated down to one. We partner primarily with Publicis on consumer marketing.  And doing so, it has afforded us the opportunity to restructure how we are organized and line up with them. And maybe most importantly, really making sure that we are giving our partners the license to create very bold and consumer relevant creative. So, the example I would use again is Jif, the most recent campaign where we have partnerships with Ludacris and Gunna, both rappers from two different eras.  There was a TikTok rap challenge as part of that, which we actually earned 7 billion views which is unbelievable and certainly a record for us as a company in terms of the number of impressions that we made, but also probably a record in a number. I think TikTok gave us, we are in the top 12 most influential campaigns this past year. So, clearly, this has been a journey over the last three years.  It’s the consumer marketing piece is definitely working and now with the combination of a more focused and refined sales execution model, the combination of those two things is very powerful and again, a key to our success. 
Rebecca Scheuneman: Great. Thank you so much. 
Operator: Thank you. We’ve reached the end of our Question-And-Answer Session. I’d like to turn the floor back over to management for any further or closing comments. 
Mark Smucker: Well, first of all, I want to wish everyone a very happy holiday and very happy Thanksgiving this week. Thank you for being with us this week. And I know it’s a holiday week and I think the most important thing is just to pause and thank our employees who have truly done yeoman’s work managing this company through a tremendous number of challenges and really delivering results.  So, thank you most of all to our employees and thank you to our shareholders for your support. 
Operator: Thank you. That does conclude today’s teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.